Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the T-Mobile U.S. Third Quarter 2013 Conference Call. [Operator Instructions] This conference call is being recorded today, November 5, 2013.
 I would now like to turn the conference over to Mr. Nils Paellmann, Head of Investor Relations for T-Mobile U.S. Please go ahead, sir. 
Nils Paellmann: Yes. Thank you. Good morning. Welcome to T-Mobile third quarter earnings call. With me today are John Legere, our President and CEO; and Braxton Carter, our CFO.
 Please refer to Slide 2, the disclaimer. During the course of this earnings call, the company will make projections or other forward-looking statements that are subject to many risks and uncertainties that could cause actual results to differ materially from expectations. A detailed discussion of the risks and uncertainties that affect the company's business and qualify the forward-looking statements made in this call is contained in T-Mobile's SEC filings, particularly the risk factors included in our quarterly report on Form 10-Q filed with the SEC on August 8, 2013. Copies of T-Mobile's SEC filings are available online from the SEC or at the Investor Relations homepage on the T-Mobile website.
 The company's projections and forward-looking statements are based on factors that are subject to change and therefore, these statements speak only as of the date they are given. The company does not undertake any duty to update any projections or forward-looking statements. In addition, during today's discussion, management will comment on both actual results and certain non-GAAP results. Reconciliations between GAAP results and these non-GAAP results are available in the Investor Quarterly on the Investor Relations homepage on our website at t-mobile.com.
 Let me now turn it over to John Legere. 
John Legere: Okay. Good morning, everyone. Thanks for joining us today. We have another outstanding quarter. And as you'll see, we're executing really, really well. Our strategy is working at our Un-carrier moves at delivering sustainable and profitable business results. So let me jump right into some of those results immediately.
 I'll start with net adds. We had another strong growth quarter with momentum continuing as we added more than 1 million customer net additions, actually, 1,023,000. That was the second consecutive quarter that we had put up net adds in excess of 1 million.
 Now moving to branded postpaid net adds. We led the industry with 643 branded postpaid phone net adds. Now this made us #1 for the second quarter in a row and more than the rest of the entire industry combined. And to be clear, I'm talking about phone net adds and excluding all other mobile devices and tablets, which is a market where we're really just getting started in earnest in the fourth quarter. 
 We added another 5,000 of those devices, bringing the total branded postpaid net adds in Q3 to 648,000. This result is underpinned by a 64% year-over-year and 8% quarter-over-quarter increase in branded postpaid gross ads. Branded prepaid turned positive, with 24,000 branded prepaid net adds, bringing the total of branded net adds to 672,000, which was more than the 601,000 that we reported in the second quarter.
 Now turning to branded postpaid churn. Our service, network and devices continue to improve and customers are electing to stay with us longer. That is showing up in our churn, which is 1.7% this quarter, down 60 basis points year-over-year. Now our Un-carrier initiatives continue to rollout, and we're making rapid progress as we aggressively remove customer pain points and continue to change this stupid arrogant industry, while creating value for our shareholders.
 We hit our 4G LTE network milestones to cover over 200 million people way ahead of schedule, thanks to Neville Ray and his incredible team. Last quarter, we told you we had lit up 116 metro areas covering 157 million people. We now stand at 203 million people in 254 metro areas, that is nationwide 4G LTE coverage. And we're not done yet. We're already working to deliver 10+10 4G LTE in 40 of the top 50 metro areas by the end of the year, and we're on track to begin rolling out 20+20 4G LTE with substantial deployments beginning in 2014, and I'll give you an idea of what that means in a second.
 Our Un-carrier strategy continues to separate us from the competition, so let me give you a quick refresher of what we've done at a torrid pace, so far, this year. Un-carrier 1.0, Simple Choice, announced in March, got rid of the annual service contracts and introduced a radically simplified consumer rate plan. Un-carrier 2.0, JUMP!, launched in July, gave consumers the freedom to affordably upgrade their device when they want, not when they're told. We already have more than 2.2 million net enrollments. It's really working.
 Simple Choice for family, launched at the same time as JUMP!, lets families gets rid of annual service contracts and offers affordable service plans with no credit checks. Simple Choice for business, launched in August, extended the benefits that consumers had been enjoying, no annual service contracts and simple rate plans. Businesses of all sizes can decouple services from the cost of devices to get rid of unpredictability.
 Un-carrier 3.0, Simple Choice Global, launched in October, made the world our customers network as we now offer unlimited data and texting worldwide at no extra charge in over 100 countries. And most recently, Un-carrier 3.0, Part II, where we unleashed tablets with up to 200 megabits of free 4G LTE data every month. We think it's insane that most tablet owners don't even sign up for mobile internet data services because they're worried about high fees and overages.
 So on devices, we now have a competitive and complete portfolio with all the phones and tablets that our customers want. Plus, we participated in the launch of the new iPhone 5s and 5c and the new line of iPads.
 Changing the industry with our Un-carrier moves has kept us very, very busy, but we've also been managing the business. On the cost structure side, we made $1.7 billion in improvements, all of which will be realized this year. We're reinvesting these resources into profitable growth.
 And the integration of MetroPCS is ahead of plan. Synergies are coming in better and sooner, onetime integration costs are coming in lower and the rollout of new MetroPCS markets is accelerating. And we are announcing today that on November 21, we'll be launching the MetroPCS brand in an additional 15 markets, bringing the total of expansion markets to 30, so far. The additional 15 markets include big markets like Cincinnati, Columbus, Denver, Phoenix, Pittsburgh and Portland. As you can see, Q3 shows that our momentum continues. Our strategy is working, we are executing well and customers are responding. We're going to continue to be disruptive, but we will do it smartly and profitably.
 So now let's talk a little bit more about customers. As I mentioned earlier, it was a great quarter as we led the industry in postpaid phone net adds for the second quarter in a row with 643,000 branded postpaid phone net adds. Our data shows that our share of postpaid industry gross adds in the third quarter was approximately 19%. Last year, it was only 13%. I hit on the improved year-over-year branded postpaid churn rate earlier, which was down 60 basis points to 1.7. That decrease is even better than the 50 basis points year-over-year drop in the second quarter. More new customers and fewer customers churning, a winning combination in this business. Clearly, our Un-carrier strategy is resonating with our customers.
 Branded prepaid also returned to growth this quarter with 24,000 net additions, as customers find the right service to fit their needs. We feel good about the direction of business, especially with the new MetroPCS market starting to show up in the fourth quarter. Smartphone sales showed continued growth, coming in at 5.6 million devices or 88% of total phone units. This is a great trend that will continue as we now have all the leading devices in our lineup.
 Sustainable and improving profitability requires attracting the right customer base. And similar to last quarter, we've seen a material improvement in the quality of these newly acquired customers. Bad debt expenses were down 32% year-over-year. Average application credit scores were up 31% and the credit quality of our installment receivables continues to look good. 53% of the IP receivables were classified as prime versus 43% in the fourth quarter of 2012.
 Now let me spend a little bit more time on total customer growth, where we're seeing strong momentum across the board. The overall total branded growth of 672,000 net adds demonstrates the success of our Un-carrier strategy and our Simple Choice plans. This was up more than 1.1 million year-over-year and even better than the 601,000 net adds reported in the second quarter.
 In the wholesale business, which includes MVNO and machine to machine, we had 351,000 net adds in the quarter, up 22% year-over-year. Now MVNO was the real driver here with net adds up 189% year-over-year and 8% quarter-over-quarter, accounting for 344,000 net adds with machine to machine being the remaining 7,000.
 Our company's share of industry prepaid gross adds across our brands and MVNO was more than 35% in the third quarter. Bringing it all together, we added more than 1 million total net adds this quarter across branded postpaid, branded prepaid and wholesale. And this was the second quarter in a row that we have delivered total net adds greater than 1 million. I have confidence that we can continue to build on this momentum.
 Now turning to the network. As we mentioned earlier, we currently sit at 203 million 4G LTE covered people. That means we have surpassed our full year goal of nationwide 4G LTE coverage 1 quarter early. Now let me share some more details about how big and how good our network really is.
 4G LTE is live in 94 of the top 100 metro areas. We operate the fastest 4G LTE network in 10 of the top 20 metro areas, and that's based on third-party data. And we continue to improve our 4G HSPA+ network, reaching 229 million people on our AWS spectrum and 203 million people on our 1900 spectrum, which is important for our customers who don't yet have 4G LTE handsets as they will still have a great experience on 4G HSPA+. And we are continuing to improve our spectrum position. We closed our acquisition of U.S. Cellular spectrum in Mississippi Valley, covering 32 million people at the beginning of October. And we continue to explore all opportunities to add to our current spectrum holdings in prudent and pragmatic ways.
 Now I'm going to hit on our network expansion one more time, because it's really important and it seems to be a hot topic. Our current spectrum, combined with our network modernization program, will allow us to achieve at least 10+10 4G LTE in 40 of the top 50 metro areas by year end, that's this year end, including 24 of the top 25. And I'm particularly excited that we are on track to rollout 20+20 LTE with substantial deployments beginning in 2014. Now let me just put that in closer context for you.
 Customers are experiencing downloads up to 72 MB, and upload speeds that are up to 27 MB in our 10+10 markets, which are in service today. And in 20+20 field trials, we have download speeds clocking in at 147 MB with uplink speeds of up to 40 MB. Neville and his team are hard at work making this experience real for our customers today.
 Now let me talk about the integration of MetroPCS. I'm very proud of the work being done. 4G LTE spectrum covering in approximately 15% of MetroPCS network POPs will be refarmed by the end of 2013. More than 1.5 million MetroPCS customers already have T-Mobile compatible handsets, and the pace of migration is accelerating. We have launched the MetroPCS brand into 15 new markets, along with 650 distribution points as of Q3. And as I said earlier, we will have another 15 expansion markets opening on November 21. 
 I know this crowd wants to hear about synergies realized and the cost to achieve, and I'm very pleased to tell you that we are well ahead on both counts for 2013. Network CapEx synergies are on track to beat plan by $200 million to $250 million. OpEx synergies are on track to beat plan by $50 million to $100 million. With regard to onetime integration expenses, which are mostly CapEx, we are on track to beat plan by $100 million to $125 million. So we feel terrific about how the integration is coming together.
 Overall, the team is just killing it and we're having a great time. I know that we've gone through a lot of this morning, but it really represents all of the changes that are taking place here at T-Mobile. My main takeaway from this quarter, only our second as a public company, is that the Un-carrier strategy is working, momentum continues and we are working diligently to ensure that it doesn't stop.
 Now let me turn it over to our CFO, Braxton Carter, for a review of the quarterly financials and guidance, and then we'll answer questions. Braxton? 
J. Carter: Thank you, John, and good morning. Let me start by discussing our revenues and EBITDA in the quarter. Most of the figures we present to you today are pro forma combined. That is including MetroPCS in all previous comparable periods.
 Total revenues grew 9% year-over-year and close to 1% quarter-over-quarter, principally driven by strong growth in equipment revenues. In the quarter, we financed $1 billion of equipment sales revenue, compared to $811 million in the second quarter and $235 million in the third quarter of last year.
 Service revenues of $5.1 billion were down 4.6% year-over-year and continue to be impacted by the migration to Simple Choice plans. However, service revenues grew quarter-over-quarter, the second quarter in a row of sequential growth, and reflect how our ongoing customer growth is offsetting our planned shift to Simple Choice plans. The 4.6% year-over-year decline also represents a significant improvement over the 7.5% year-over-year decline in the second quarter.
 Adjusted EBITDA of more than $1.3 billion is a highlight of the quarter, and indicates that we can grow subscribers and profits at the same time. Adjusted EBITDA was up 6.2% quarter-over-quarter and the adjusted EBITDA margin was 26%, up from 25% in the second quarter. It is important to point out that this margin growth occurred in the quarter while branded postpaid gross adds were up 8% quarter-over-quarter, and the upgrade rate remained elevated at 9% this quarter versus 10% in the prior quarter and 6% last year. Branded CPGA declined to $307 versus $332 in Q2. And branded CPU was $25, down from $26 in Q2. This clearly demonstrates the improving unit economics in our business.
 Less promotional activity in the quarter helped the adjusted EBITDA margin, but I want to underscore that it did not slow our gross add growth. The Un-carrier message is out there and resonating with customers.
 Finally, I wanted to mention our credit quality remains high and all the metrics are moving in the right direction, as already highlighted by John. Despite some fears that are -- have been loosening credit standards, I want to tell you that all the metrics are moving in the right direction. In fact, we have tightened credit standards over the last 15 months.
 Turning to ARPU. As with service revenues, branded postpaid ARPU continues to be impacted by the significant migration to Simple Choice plans. This quarter was no different, although the rate of ARPU decline was more consistent with the first quarter than what we witnessed in the second quarter. In the third quarter, branded postpaid ARPU declined by $1.40 or 2.6% versus the prior quarter. The ongoing rapid migration to Simple Choice plans has been the main driver for the ARPU decline.
 As you recall, we saw a very rapid uptake in Q2, up 14 percentage points to 50% of the branded postpaid base. A lot of this uptake came in May and June, thus not fully impacting the second quarter. In addition, Q3, we saw another 11% point uptake to 61% of the base, clearly exceeding earlier expectations. This put additional pressure on branded postpaid ARPU. The silver lining here is that we are getting through the migration more quickly than earlier anticipated. More importantly, this also means that we are getting closer to ARPU inflection. We expect ARPU to stabilize in the second half of 2014 and set the stage for the return of ARPU growth shortly thereafter. We continue to see attractive levels of data attach rates, which are very supportive of ARPU. Branded prepaid ARPU, on a pro forma combined basis, remains consistent and grew slightly year-over-year.
 Turning to CapEx and cash flows. We spent more than $4.5 billion of cash CapEx over the last 12 months as we continue to make the significant investment to modernize our network. We see that investment paying off, both in terms of the breadth and speed of the network itself, and in terms of how the new network is helping us gain and retain customers. We continue to remain focused on free cash flow. Simple free cash flow, that is adjusted EBITDA minus cash CapEx, increased to $327 million, more than double the $154 million last quarter.
 Total installment receivables increased by approximately $600 million compared to the second quarter. This was driven by the strong operational results and record smartphone sales. In terms of key balance sheet metrics, we ended the quarter with a very strong cash position of $2.4 billion. Net debt, excluding the tower obligations, amounted to $15.8 billion, which represents a multiple of 2.9x the adjusted EBITDA over the last 12 months. 
 I would also like to mention that in connection with the filing of our third quarter Form 10-Q, which is scheduled for November 7, we plan on filing a Form S-3 shelf registration to facilitate future debt and/or equity offerings.
 Let me conclude with updated guidance for 2013. On a pro forma combined basis, we expect adjusted EBITDA for the year of between $5.2 billion and $5.4 billion. This is unchanged from the guidance given on our second quarter call. Of note, we are maintaining the EBITDA guidance despite significantly faster-than-expected customer growth. Our guidance also assumes increased promotional activity in the all-important Q4 selling season.
 Cash CapEx is between $4.2 billion and $4.4 billion pro forma for the year. This is also unchanged from our previous guidance. Branded postpaid net adds for the year are now expected to be between 1.6 million and 1.8 million, and that is an increase from our prior guidance of between 1 million and 1.2 million. We added more than 1.1 million branded postpaid customers in the first 3 quarters of the year until we already hit the previous full year milestones 1 quarter ahead of plan.
 Finally, the penetration of Simple Choice plans and the branded postpaid base is expected to be between 65% and 75% by year end, and that is an increase from our prior guidance of 60% to 70% penetration. We ended the third quarter at 61% penetration.
 Let me now turn it back over to John for a recap of the highlights. 
John Legere: Okay. Thank you, Braxton. What a great quarter. I'd like to congratulate my team and my employees for pushing this company forward and putting up such great results.
 We successfully launched Un-carrier 1.0, 2.0 and 3.0 and have seen a significant improvement in customer momentum. We again led the entire industry with 643,000 branded postpaid phone net adds. Branded postpaid gross adds increased 64% year-over-year and 8% quarter-over-quarter. We achieved branded postpaid churn of 1.7%, down 60 basis points year-over-year. 
 Our 4G LTE footprint continues to grow. We are well ahead of plan covering over 203 million people in 254 metro areas, and our 4G LTE network is performing great. We're building out 10+10 4G LTE, and like I said we begin rolling out 20+20 4G LTE with substantial deployments beginning in 2014. The MetroPCS integration is proceeding well ahead of plan. The synergies are real and coming in better than expectations, while the integration costs are coming in below plans. 
 And as I announced, we're launching the MetroPCS brand into an additional 15 markets on November 21.  We have a strong cash position with $2.4 billion ending cash and we are not done. Our strategy is working, we're executing well and we're delivering for the business. And as Braxton already stated, we're increasing our customer outlook while reaffirming our financial guidance for 2013.
 With that, I think we're ready for Q&A. Operator, first question, please. 
Operator: [Operator Instructions] Our first question comes from Simon Flannery of Morgan Stanley. 
Simon Flannery: A number of the other carriers had commented on the impact of iPhone supply issues. Was there anything holding back some of your porting and something that you might have seen snapping back in the October time frame? And then could you give us more color on the first 15 markets with the MetroPCS rollout? We've seen a lot of new branding and you've talked about a lot of the handset pick up, but if you could break out what sort of momentum you've had there, that would be helpful. 
John Legere: Yes. Let's -- Mike Sievert, CMO, will cover the first piece and Tom Keys, the leader of all things MetroPCS, will take the second part. 
G. Sievert: Simon, it's Mike. iPhones represented about 15% of total smartphone sales in the quarter. And we were very pleased with the overall result. I think a different way of asking the question about our performance is how did we manage to get such good balance into our smartphone portfolio, where some of the carriers are addicted to one particular model or another. Overall, I think we could have done a bigger percentage of iPhones had we had better supply around the launch. It was a really popular launch and supplies was well reported was short. But the total was about 15% of total smartphone sales on the T-Mobile brand. 
Thomas Keys: Simon, this is Tom. Just to give you a third quarter update on the first 15 cities. I think we launched approximately at the end of July, about the 28th. So for the quarter, we really had August and September to go from. We got up over 1,000 doors. We thought we would get there by the end of the year, we got there before the end of the year, which was really good. These were greenfield markets. In some cases, we had a lot of prepaid competition that existed as we came into the city. So while we built the city out, we utilized T-Mobile network, which was wonderful, it was about 7x faster than what existing MetroPCS customers would've experienced in the legacy markets. And we're just seeing great momentum. We've seen our distribution, our dealers, principally open up all of these markets. We didn't invest in any MetroPCS-operated and owned stores, all of this was on the backs of our dealer distribution, as well as some national retails, specifically in Best Buy and Walmart. We've seen great momentum and that momentum, as John mentioned, will carry over as we launch on the 21st of this month an additional 15 markets. We're excited there's great momentum building in this prepaid brand. 
J. Carter: Simon, let me add one thing to that. I think the way I'd look at the Metro expansion is the third quarter was a quarter of ramping the rollout of these markets. Just get ready for fourth quarter. As Tom said, we got a significant amount of distribution up, they're very well positioned for the all-important fourth quarter. And with the launch of 15 additional markets on November 21, really good things to come. And even considering it was just a ramp quarter, you saw fairly significant improvement in the momentum of the prepaid part of the business. And don't forget that there is the migration factor from prepaid to postpaid. It was a little bit less than what we had last quarter, but still a factor out there. So message here is the prepaid part of the business side is strong and just wait for the future results. 
John Legere: This is John. We'll move to the second question, but I would just say, you asked 2 questions that I think are extremely powerful underpinnings of what we announced today. First of all, we are extremely proud and pleased to have the full line of devices now. And I think, a couple ways to look at this. Definitely, we, as well as everybody, had some supply issues that are being corrected and there was great response to the new iPhone devices. But if there was any lingering questions as to what is happening in our company and whether it was an iPhone-only driven event in Q2, it's clearly not. However, we are clearly benefiting from having the full line of Apple devices. And secondly, I think this is the quarter where, as you said, the MetroPCS integration into our company becomes very relevant topic going forward in 2 ways. One, is the pace at which this team is executing an aggressive rollout in a very opportunistic time, as some of the main competitors in that space are preoccupied, the pace at which they're moving is incredible. And then secondly, what we've announced is pretty much on every line. The integration, both from a process standpoint and from a CapEx and cost standpoint, is going very well, and let's not lose sight of the medium-term impact on the financials of this company, of a successful execution of the integration of MetroPCS. So that's a good news going forward for the company. 
Operator: Our next question comes from Craig Moffett of MoffettNathanson. 
Craig Moffett: Can you talk a little bit about how you sort of crack the next frontier, which is family plans? I know you've had, obviously, some success picking off subscribers 1 by 1, even if they are in family plans. But there's obviously a hurdle there for subscribers and that the marginal cost of being in a Verizon or AT&T plan for the third, fourth, fifth device is relatively low. How do you go about sort of capturing that next bucket, which is really the big one, I guess, of customers that are in family plans? And can you provide any insight into how you're doing on that score at the present time? 
John Legere: Yes. I'm going to let Mike cover that and I'll come back in. And at some point, I think the fantastic question will be how are they going to keep their family plans together, as opposed to how are we going to pick them apart. But Mike, do you want to start? 
G. Sievert: Yes. Craig, most of our success and growth in the Un-carrier strategy has come since the launch of family plan phenomena at Verizon and AT&T last year in 2012. And what's not often reported on, and sometimes misunderstood about our results, is that a significant majority of our sales today on the postpaid side of the business are multiple line family plans. So single lines represent a minority of our sales, not a majority, and that's something that's not widely understood. Which is good that we're able to get this kind of ARPU performance, despite the fact that the majority of our lines are multiple lines and our pricing discounts from the second line onward. So look, I mean, the strategy is managing to peel people away from AT&T, Sprint, Verizon and the other carriers. And you've seen the churn start to elevate at some of the other carriers as the Un-carrier strategy at T-Mobile has taken hold. 
John Legere: And I think, Simon, I would correct -- sorry, it's early out here. I would predict that family plans will quickly become a pain point for consumers. And because I think it's pretty clear now that family plans were not created for the benefit of the families. Family plans are just another way of maximizing profitability for the large carriers by forcing families to fight at the dinner table over a small pool of data that's not going to satisfy anybody, and having the higher smartphone users marginalized by their participation. And I think like any other piece, as it becomes unbundled by the individual consumers as they glance over at better options, the family plan itself will be a pain point. And as a minimum, I think the carriers that thrive on these family plans are going to have to respond with massive massaging of their family plans to keep it together. And then we'll do what we do best, which is solve the pain points for individual pieces of the family and put pressure on the other carriers. And as we said, we've had record branded postpaid gross adds, but it was 19%, not 89%. So there's an awful lot of room for us to grow. 
Operator: And our next question comes from Philip Cusick of JPMorgan. 
Philip Cusick: So bad debt was down year-over-year. Can you expand on that, Braxton? And have you seen any issues at this point with iPhone fraud that's sort of over and above what you see in a normal basis? 
J. Carter: Yes. Sure, Phil. The quality of the customers that we're attracting to TMUS, I think, is a key part of the success that we're seeing. John highlighted a few very important statistics that quantified that. The 31% increase in the internal credit scoring, a very, very significant movement in the types of customers that are being attracted with TMUS. And on a year-over-year basis, we are seeing substantial decreases in bad debt expense. And I think the right way to look at it is, year-over-year, we have a much higher customer base now that we've returned to a significant growth company. And looking at the fact that we have significantly higher customers with over a 30% decrease in our bad debt expense, I think, it's a nice quantitative factor. You can also look at the disclosures that we make relating to our EIP receivables. And well over 50% of those receivables are now prime versus sub-prime, which is a significant change from where we were at 1 year ago. That's something that we're very focused on. I can tell you that I've been extremely impressed with the work that the team does here from a credit standpoint with our customers. It's extremely tight, it's extremely sophisticated. We're utilizing multiple technologies to do this. It really is a key focus of the team. And your specific question on iPhone fraud, no, we are not seeing any indications of fraud with our iPhone customers coming in. In fact, we're seeing better performance given the types of customers that gravitate towards the iOS platform. 
Operator: Our next question comes from Brett Feldman of Deutsche Bank. 
Brett Feldman: I was hoping you can give us an update on the postpaid porting ratios that you saw in the quarter. And then when I look at your updated full year net add guidance for the fourth quarter, it implies a result that would be flatter down versus 3Q. I was hoping you can maybe just break down some of the assumptions that are behind that and things like seasonality in gross adds and churn, what you're expecting in terms of Un-carrier 3.0 product performance, and if you're beginning to see any competitive responses to the success you've been having? 
J. Carter: Yes. I'll start with the last part of the question there, Brett. I think that what we're doing here is trying to establish conservative, achievable guidance. And you look at the way that we've conducted our guidance since the formation of TMUS. I think you can see that, that's the way we're looking at it. The reality is, it is a competitive environment. We don't discount for competition. We are measured in the way that we look forward and put guidance up. But quite frankly, I think with our tablet Un-leashed initiative and a lot of the other things that we have going on, there is an opportunity to exceed what we've put out. But I don't think that does anybody justice trying to get overly aggressive from a forward-looking guidance standpoint. I think one of the key things here was the reaffirmation of the EBITDA guidance, given a significant increase in the growth trajectory of the company, which shows that there is a significant improvement even in the economics of what we're doing. And you did hear, I'm sure on the script, that we are also talking about increased promotional expenses for the fourth quarter. Fourth quarter is very, very important. The intensity increases substantially and we are certainly prepared to fight above our weight and be out in the marketplace continuing our success. 
John Legere: And let me just comment on the porting ratios without starting to have to give very detailed carrier by carrier porting every quarter. But I'll give you an understated positive view which is, the porting ratios for Q3 were up well over Q2, and the porting ratios for the week ending October 30 were up over Q3. So I think the trend is pretty clear. 
Operator: And our next question comes from Jonathan Chaplin of New Street Research. 
Jonathan Chaplin: Just a couple of ARPU quickly. It seems like results overall were really strong, but the ARPU declines were a little bit greater than what we expected them to be. And Braxton, I heard your comment that you expect them to -- ARPU to stabilize in the second half of '14. At about what level do you expect it to stabilize? And then just feeding off of that, we would have expected sort of a bigger benefit from JUMP! in the quarter on ARPU. I'm wondering if you could sort of quantify how much of a benefit you did see. And then maybe what you're seeing in terms of an impact from the early uptake on the international plans, that would be helpful. 
J. Carter: Yes. Sure. We did try to give quite a bit of thoughts for our messaging around ARPU. And quite frankly, the migrations are running extremely hot within the base. I think it's a given that the new customers, I mean, at this point, all we're selling is Simple Choice plan. But we're seeing a great deal of interest in our base of taking advantage of the simplicity and beauty of the Simple Choice plans. And when you compare the decrease in the ARPU and the third quarter, it was very similar to the first quarter of the year. And again, one of the key things that we were trying to communicate here, Jonathan, is that there is a silver lining in this. There will be an ultimate penetration of what we do with Simple Choice. And at that point, you will stabilize ARPU because you've penetrated the base and we'll be in a position through data monetization, through other initiatives that we have like JUMP!, like our international products, other innovations that we're bringing to the marketplace to actually start growing ARPU. And the quicker we get through this initial migration, the better. One of the things that we've tried to do as a public company is put a lot of transparency around the disclosures relating to the equipment installment financing. We've disclosed the gross amount of new receivables, the net increase in receivables and I think importantly, penetration assumptions related to these plans so you can model in and come to a view as to where you think the ARPU is going. We really don't want to get in the practice of giving a detailed ARPU forecast looking forward. We're more focused on the overall metrics that we're currently disclosing. But needless to say, this migration is happening quicker than our earlier expectations, which I think is a very, very good thing. JUMP! certainly is included in ARPU. We disclosed that we have over 2 million customers at the end of the third quarter, of course, that progressed during the quarter and there's $10 worth of incremental revenue associated with those. So not a huge driver on ARPU at this point. But it will become very significant. And the international, I'd like Mike Sievert to comment a little bit about the international, some of the early results, but we're pretty excited. Mike? 
G. Sievert: Yes. And just to underscore first on JUMP!, I want to remind everybody that JUMP! replaces a very popular insurance product that ranged from $8 to $12. And so JUMP!'s priced at $10 and is more popular than the insurance product, but the only real opportunity for ARPU growth is in the fact that it's a little bit more popular than the insurance product that it replaces. JUMP! is really not designed as an ARPU instrument, as much as it's a growth instrument for us and a loyalty instrument for us, and we're very excited about its potential. Simple Choice Global, we launched in October. Phenomenal reaction from the marketplace. Our brand consideration is up 30% this year and has been further fueled by the most recent introductions of Un-carrier 3.0, both the global piece, as well as the tablets Un-leashed that we did a couple of weeks ago. And particularly, from all segments, but particularly from the B2B segment, where we really feel like Simple Global was a coming-out party for our B2B push. In some ways, it was a Un-carrier 1.0 for our B2B initiatives and we've seen a tremendous response from B2B customers from all segments, larger enterprises, mid-market and small business. And I think we've only begun to see the business results. 
Operator: Our next question comes from John Hodulik of UBS. 
John Hodulik: Just a quick question on the move to 20+20 on the LTE network. You set a goal of 98% of the top 25 markets. Is that a 2014 year-end goal? How quickly can you move on these markets and when will start to see the first markets come up next year? And I guess, what's the gating factor into moving very quickly on that initiative? 
Neville Ray: Thanks, John. It's Neville. So the 20+20 movement will start in '14. You may see some early activity, not for markets before the end of this year even from T-Mobile. We're very excited by what we see on our 10+10 performance, as well as the coming 20+20. The main driver is the successful integration and combination with MetroPCS. As you heard from John and the team, I mean, that's moving at a remarkable pace, very successful so far. And that's what gives us the fuel in the tank, the additional spectrum, to supplement a great nationwide 10+10 4G LTE offering with this additional spectrum. We're going to push very hard in '14. I think there are some markets that will probably drag into '15. But at this point in time, as we said, substantial deployments of 20+20. But the 10+10 is doing extremely well, and John referenced, we're extremely quick in many metros today and we are rapidly approaching stealing the national crown in terms of fastest LTE with the 10+10. 
Operator: Our next question comes from Rick Prentiss of Raymond James. 
Ric Prentiss: A couple of questions for you guys. First, Braxton, back of the Simple Choice increasing the guidance from 60% to 70% to 65% to 75% by year end, we had previously taught you might max out around 75% of the base moving on to that plan. Are you guys thinking now that it might go beyond the 75%? And what would cause it to go to 75% versus 100%? 
J. Carter: Yes. I think that our view is that the potential maximum penetration on these plans is going to be in the 85% to 90% range. So there is a little bit more room to go during '14. And that's why we looked at mid-'14 as the inflection point on the ARPU. So that's our current view. 
Ric Prentiss: That makes sense. And then you mentioned that in the 10-Q coming up, you're going to have a S-3 filed associated with that, future debt and/or equity. Talk a little bit about where you see your leverage right now, where you're comfortable with leverage going and maybe what the cost of debt looks like out in the marketplace? 
J. Carter: I'll tell you that we are constantly looking at the capital markets, both from an equity and debt standpoint. If we do fundraising, it would be for the purpose of opportunistic spectrum acquisitions, a real emphasis on that. We all know that, that's the lifeblood of our industry. You've heard Neville and the others talk about our desire for a low-band spectrum. We all know that there's opportunities for low-band spectrum coming up in the future. And it's something that we have our eyes on and we want to be prepared to put that significant asset into our portfolio. Right now the markets are very, very favorable and they have been for some time, it's something that we're just keeping our eyes on and stay tuned. 
Ric Prentiss: And last quick question, the competitive landscape. As you think about last December when you had your party in Bonn with the Deutsche Telekom Analyst Day, it seems like your target might have been more trying to steal customers away from AT&T, the advertising campaign seem to be steered at there. When you think about your success, though, in turning dramatically around the net adds from a year ago to this year, how would you characterize your success as far as versus larger-priced carriers versus value carriers? 
John Legere: There's a lot to that question. I'll start and let Mike and others chime in. I think we were clear in a couple of topics. This certainly came up in the last round of earnings were there was a statement that T-Mobile was being successful in the low-end price sensitive part of the market, which we agreed with, but clarified that, that is about 90% of the market. Secondly, I think when we talked about -- in Bonn, we talked about the Un-carrier pain point strategy and how it would be successful. And we pointed out that the most vulnerable was AT&T, but not that we would solely take share from AT&T, but any customer that was feeling these pain points, and that's really been the process. But in the beginning, obviously, a lot of the ease of switching technology-wise were AT&T customers. We're actually in a new phase now where there's been a lot of discussion recently in the industry about potential network speeds in 2015 or trials of speed in 25% of 5 metro markets. What Neville and his team have announced now are smoking fast industry-leading speeds everywhere now. And that clearly, along with our full device portfolio and our Un-carrier strategy, does make us a threat across the entire market. So we will continue to attack the same foes, you might see us move slightly around because of particular vulnerability. And I think you're also hearing now that the attack flank has also moved aggressively to the MetroPCS market. So I don't know if you want to add anything to that. 
G. Sievert: I would just say the short answer is it's both. We're taking share from the low end and the high end. At the high end, it's particularly AT&T and Sprint, and at the low end from a variety of prepaid players. And I think we've described before that the Un-carrier strategy is about establishing a really effective mid-market space that is a no trade-offs positioning. Meaning, traditionally, people have had to, down at the low end, trade-off what's great about wireless to get great value; or at the high end, go after one of the top 2 or 3 networks, but suffer restrictions and lack of value and lack of transparency in pricing, et cetera. And what we do, as John just said, is provide a no-apologies fantastic market-leading network position, backed by the Un-carrier value proposition that's simple and transparent, fair and flexible. So at the mid-market position and therefore, it's taking share from above and from below, but more from above. So more of the share coming from AT&T and Sprint so far. 
Operator: Our next question will come from Walter Piecyk of BTIG. 
Walter Piecyk: Just 2 questions. First on the upgrade rate, which you showed year-over-year improvement. That was a little surprising just given these equipment installment plans that you have. It seems like it's much more attractive for customers to buy phones in your network now. Just curious what your thoughts on that are and how you expect that to change next year? And then the second question is on ARPU. I think if you look at the billings that you're effectively not booking as revenue, it's something like $400 million plus. So on an apples-to-apples basis, I guess, if you add that back into your ARPU calculation, then is it the right way to look at it like a 4% year-on-year increase? I mean, I know you don't -- you're looking at the world differently with the Un-carrier thing and all that, but on an apples-to-apples basis, it looks like ARPU might have been up 4% year-on-year. 
J. Carter: Yes. If you normalized ARPU, as to how the other carriers traditional report it, but -- again, remember all the other carriers have now copied the equipment financing, so the world is going to get a little more blurry, they're going to follow the same accounting we do because of GAAP. But you're absolutely right, the underlying ARPU trend would be increasing. The upgrades, we were down sequentially. At second quarter was 10% upgrade rate, third quarter 9%, but that's up from a 6% upgrade rate 1 year ago. And I think looking forward, you got to remember that JUMP! is taking away one of the significant pain points of our customers. So when we look and model next year, we do not see a decrease in the intensity of upgrades with the business. They were really helping facilitate that with our customers. 
G. Sievert: I would just say upgrades are a good news story for our business. They don't hit our P&L at the same rate, they hit traditional P&Ls. And really, JUMP!, as well as the upgrades that we're seeing now are about keeping people in the first half of, let's say, a 2-year relationship with their phone. And that's fantastic, we're generating loyalty in bringing people back to our franchise. And the other thing that's interesting for me about when you look at the numbers is to see how fast the billings against our receivables are growing. And Braxton talked about the second half of next year being a time when we may see ARPU stabilization. The other thing that's going on is that while our -- we're financing more and more because we're successful at growing the billings against our base of EIP being financed just growing rapidly, brewed us $435 million this quarter, up from $314 million just last quarter. And you quickly reach a point in this business model where your billings coming in from your EIPs begin to approximate your amount being financed in the contemporary quarter, such that the EIP out into the future isn't the same kind of cash consumptive strategy that it is today. And we're rapidly progressing towards that point when you look at these growth rates. 
Walter Piecyk: So do you still think that crossover point is occurring sometime in 2014 with a net impact to EBITDA is not, I guess, $600 million, it's net 0? 
J. Carter: Yes. 
Operator: And our final question will come from Matthew Niknam of Goldman Sachs. 
Matthew Niknam: Just last one on CapEx. With subscriber growth coming in stronger than your initial expectations, maybe a greater penetration of higher-end customers are more B2B, are there any initial expectations on how to think about CapEx levels going forward beyond this year? 
J. Carter: Yes. I think what we've said is that we are willing to invest in our network to support the growth that's happening. We did, when you look back at the proxy, have a substantial drop-off in the capital intensity of the business, but that's when we're looking at just the stabilization of the postpaid base by the end of the year. And we're in a much, much different position. And I think when you look at a lot of the estimates that are out there publicly, what you're seeing is capital intensity, but more consistent with the levels of this year, maybe down $400 million or $500 million. And quite frankly, I think that is probably a better way to look at it because we do need to invest and support the growth in the business. 
John Legere: Okay. I think I heard that, that was the last question. Appreciate everybody tuning in, and we look forward to talking to you next quarter. 
Operator: Ladies and gentlemen, this concludes the T-Mobile U.S. Third Quarter 2013 Conference Call. If you have any further questions, you may contact the Investor Relations department. Thank you for your participation. You may now disconnect and have a pleasant day.